Operator: Good day, everyone, and welcome to the Frontier Communications Q3 2017 Earnings Conference Call. This call is being recorded. At this time, I'd like to turn the conference over to Mr. Luke Szymczak. Please go ahead, sir.
Luke T. Szymczak - Frontier Communications Corp.: Thank you, Cody. Good afternoon and welcome to the Frontier Communications third quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO, and Perley McBride, Executive Vice President and CFO. Press release, earnings presentation, and supplemental financials are available in the Investor Relations section of our website frontier.com. During this call, we will be making certain forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and SEC filings. On this call, we will discuss GAAP and non-GAAP financial measures as defined under SEC rules. Reconciliation between GAAP and non-GAAP financial measures is provided in our earnings press release. Please refer to this material during our discussion, and review the cautionary language concerning non-GAAP measures in our earnings press release. I will now turn the call over to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thanks, Luke. Good afternoon, everyone, and thank you for joining us. Frontier's third quarter results highlight the ongoing stabilization across our business. We continue to make progress on our key initiatives to improve customer retention, enhance the customer experience and align our cost structure. This is evidenced by the ongoing improvement in CTF FiOS net additions in Q3 as well as the positive multi-quarter trend in CTF FiOS churn. We are very encouraged by our ability to continue improving the metrics across the business. Overall revenue trends have improved, however, revenues haven't stabilized as quickly as we expected, and this will delay our achievement of a $3.8 billion adjusted EBITDA run rate goal beyond Q4. We believe we are very well-positioned to continue to make progress towards that goal in coming quarters. Looking forward, we anticipate continued improvement in CTF FiOS subscriber additions and expect this to improve revenues in our consumer business over time. Regarding our commercial business, we are pleased with progress in most areas. We have seen good performance in the enterprise medium and portions of the small business that comprise SME. Although our carrier and wholesale business was stable. The one area that needs further improvement is the ROHO portion of small business. As we continue to improve our sales execution in all channels, we anticipate stronger performance from commercial in coming quarters, and Perley will provide some additional color in a few minutes. Now I'll review our third quarter results in more detail, starting with our consumer business. We continue to make good progress at stabilizing consumer highlighted by the churn improvements in CTF FiOS. Our extensive efforts to refine and enhance our customer retention are yielding results. During the quarter, we enhanced our marketing campaign which had a favorable impact across all FiOS markets, in both broadband sales and improved video attachment rates. Longer-term, we believe further improvements in several sales channels will have a favorable impact on gross add trends. Although it's early in this quarter, we have seen a continuation of the positive trends in the CTF and Legacy FiOS markets and are pleased with the momentum we have built to-date. In Q3, we implemented the first modules of our Pega platform in our technical support organization. These improvements focused on improving customer interactions most notably in our outsourced partners' contact centers. The Pega platform is beginning to improve our customer experience. Since launching in Q3, we have seen a significant improvement in service order processing and new product order simplicity, and we expect to utilize this platform to provide automated customer interactions and provide enhancements to our business processes in customer care, field operations and network operations. All of these new features and functionality delivered by our Pega platform should further enhance our ability to provide self-help and installation services for our customers which will deepen penetration in our markets with the reduction in cost per transaction. I also wanted to comment on the recent storms in Texas and Florida. As you know, there have been a number of extreme weather events around the country. These storms had a severe impact on some of our customers. In Texas, we worked to restore service, and as of now, the majority of customers have been restored. But there are some areas with severe impacts where the rebuilding process will continue. In Florida, we were fortunate that our FiOS system performed extremely well, which has enabled a more rapid recovery. And I'm very pleased with the efforts of Frontier employees who put their lives on hold to help restore service to our customers. Perley will add more details on the financial impact of these storms shortly. With regard to our Legacy operations, consumer customer churn improved slightly in the third quarter of 2017. Our focus is on improving gross additions in broadband and optimizing channel sales product mix. These initiatives combined with enhancements to our retention tactics will improve this metric in future quarters. Turning to our commercial business, we are pleased with the progress we are making, as we have achieved three sequential quarters of relative stability. Again, total revenue was relatively flat with the first and second quarters, excluding the impact of the Frontier Secure Partnerships business which we sold on May 31. We have streamlined the Ethernet quoting process to improve turnaround and customer experience for SME customers. And as a result, we are seeing an expanded sales funnel and expect to see the benefits in revenue in the coming quarters. We're focused on commercial customer acquisition in both direct and alternate channels, simplifying the process of doing business with Frontier, improving billing and product pricing evolution, and driving growth with cloud-based VoIP and data networking solutions. We recently announced a win with Choice Hotels, which is just one illustration of our progress. Additionally, in Q4, we will also be rolling out our revived Ethernet quoting process to our wholesale and carrier customers. As a result, we expect greatly reduced timelines from quote to bill for all facets of our commercial base. And as we make further execution improvements, we expect to see better performance in our commercial business during the fourth quarter and in 2018. In addition to the operational progress we have made across our consumer and commercial businesses, the company is continuing to benefit from further efficiency and cost reduction initiatives. Improvements are being driven by a range of programs including our implementation of the Pega platform, reduced maintenance cost as a result of leveraging third party partnerships, and efficiencies achieved with the centralized reporting structure. Frontier achieved stable adjusted EBITDA margins in Q3, and we are on track to attain the remaining $274 million in cost synergies by mid-2018. In summary, we are pleased with ongoing stabilization during the third quarter as we executed well on a number of key initiative. Looking forward, I am confident in our ability to further stabilize the business and grow both the top and bottom line. I'll now turn the call over to our CFO, Perley McBride, to discuss our financial performance.
R. Perley McBride - Frontier Communications Corp.: Thank you, Dan, and good afternoon, everyone. I will start with an overview of our third quarter financial performance and then provide our outlook for 2017. We will then open up the call for questions. Total Q3 revenue was $2.25 billion, a 2.3% decline compared to the second quarter of 2017, or a 1.7% decline adjusting for the sale of the Frontier Secure Strategic Partnerships business in the second quarter. We had another sequential improvement in the CTF revenue trend in Q3, illustrating our continued progress towards stabilization. As you can see on slide 5, we continued to execute on our cost reduction initiatives, highlighted by the $51 million reduction in adjusted operating expense in Q3. I am pleased to say we accomplished $19 million in cost synergies and remain on track to achieve our $350 million in annualized run rate cost synergies by the end of Q2 2018. Our improving revenue trend and constant focus on cost reduction resulted in adjusted EBITDA of $914 million or an adjusted EBITDA margin of 40.6%. Applying our revised methodology for calculating adjusted EBITDA to Q2 would yield $916 million in adjusted EBITDA for Q2, representing an adjusted EBITDA margin of 39.8%. We continue to target adjusted EBITDA margins above 40%. And as previously mentioned, remain committed to achieving $350 million in cost synergies by mid-2018. We've revised our methodology for calculating adjusted EBITDA to exclude GAAP pension OPEB expense instead of excluding non-cash pension OPEB costs. We also adjusted our calculation to exclude stock based compensation expense. We believe this improves transparency and makes adjusted EBITDA more completely a performance measure. Additionally, we've received extensive investor feedback over time requesting us to provide more clarity around pension and OPEB. Additional details are in our third quarter earnings release. Going forward, we will also provide guidance on cash pension and OPEB. Adjusted free cash flow was $182 million, down from $205 million in Q2 2017. Our working capital continues to improve, but as I have previously mentioned Q1 and Q3 are heavy cash usage quarters due to our debt service. During Q3, the two hurricanes had a negative impact of $12 million of which operating expenses were $9 million and capital expenditures $3 million. Please turn to slide 6. The trends in data and Internet services revenue continue d to improve in Q3. Our goal is to turn this trend positive in order to offset voice decline. Video also continued to improve with the goal of reaching stabilization. Other revenue increased primarily due to an improvement in hosted services, as well as installation and activation charges. Consumer revenue which consists of CTF operations and Frontier Legacy was $1.1 billion in Q3 2017, down $22 million or 2% from Q2 of 2017. Of the $22 million decline, $9 million was related to Legacy and $13 million related to CTF. Revenues for our commercial business were $958 million, which was roughly stable with Q2 after adjusting for the divestiture of the Frontier Secure Strategic Partnerships business. We had solid trends in the enterprise and medium business portions of SME and stable trends in carrier. As Dan mentioned, we expect to see improvements in our commercial business during the fourth quarter of 2017 and into 2018. Please turn to slide 7. We are pleased with the improving trends in CTF. CTF FiOS gross adds continued to increase and are now at the highest levels since we acquired the business. Another noteworthy measure of our progress this quarter is that CTF FiOS broadband gross adds have returned to pre-acquisition levels. The combination of improved CTF FiOS gross adds and improved churn resulted in a significant improvement in CTF FiOS net losses and we are very pleased with our position as we enter Q4. Please turn to slide 8. The Legacy Frontier broadband business remained consistent in Q3 as compared to Q2. As Dan mentioned, we expect to see improvements in broadband gross adds and churn in Q4 given our ongoing commitment to refine and enhance our retention tactics coupled with enhanced marketing efforts in our CAF territories. Please turn to slide 9. Consumer ARPC in our Legacy business was $63.99 which was relatively consistent with Q2. ARPC within our CTF markets was also consistent with the prior quarter coming in at $107.33 and in line with our expectations. Our combined ARPC of $80.91 for the quarter was also consistent with recent quarters, even after adjusting for the $0.29 uplift associated with the Mayweather-McGregor fight. In all, we are pleased with ARPC and the continued improvement in customer and product trends. Please turn to slide 10. Our CapEx year-to-date was $846 million, with more than 80% of our capital program focused on revenue generating and productivity enhancing projects. The Connect America Fund or CAF II program requires companies that accepted funds to deploy broadband to 40% of eligible locations by the end of 2017. We have reached that milestone in nine states and are on track to accomplish this requirement in the remaining states. Frontier now offers broadband capability to 277,000 locations in its CAF II eligible areas, with our goal to pass 774,000 locations by the end of 2020. Please turn to slide 11. In Q3, we repurchased $45 million principal amount of our senior unsecured notes on the open market. This included $5 million of our 2018 8.125% notes, $6 million of our 2019 7.125% notes, $24 million of our 2020 8.5% notes, and $10 million of our 2021 9.25% notes. Our near-term maturity profile continues to be manageable with $578 million of bonds due in Q4 2018, $428 million due in 2019, less than $1 billion due in 2020, and we continue to have an undrawn $850 million revolver. At the end of the third quarter, our covenant leverage ratio was 4.39 and it was 4.20 at the end of Q2. Our covenant ratio calculation is unaffected by the revision in our methodology for calculating adjusted EBITDA and we remain committed to deleveraging the business. Please turn to slide 12 in our guidance. We are guiding adjusted EBITDA for Q4 to be in the range of $910 million to $930 million. In terms of our adjusted free cash flow guidance for full year 2017, we are lowering the range to $730 million to $750 million which now includes the capital expenditure range of $1.15 billion to $1.2 billion and a $50 million net cash tax benefit, excluding any impact from legislation that may occur before year-end. In Q3, Verizon finalized the pension true-up and differential contribution from the sale as of April 1, 2016. As a result, Frontier expected to make cash pension OPEB payments of $34 million in Q4. We are expecting the total impact from storms to be $40 million with operating expenses affected by $28 million and capital expenditures of $12 million. Some of this will hit Q4. We now expect integration and operating expenses to be $20 million and capital expenditures to be $50 million for full year 2017. The board of directors declared a regular quarterly cash dividend of $0.60 per share of common stock, payable on December 29, 2017 to holders of record at the close of business on December 15, 2017. To conclude, as Dan mentioned, our overall revenue trends have not recovered to the degree we expected, which delays the timing in achieving our goal of $3.8 billion adjusted EBITDA run rate. Nonetheless, we remain confident in our ability to improve the business every quarter and service our debt. The improving trends we delivered in Q3 demonstrate that we are moving in the right direction. Thank you for taking the time to join us on the call today. And with that, we will open the line to take your questions. Operator?
Operator: Thank you. We'll take our first question from Batya Levi with UBS. Please go ahead.
Batya Levi - UBS Securities LLC: Great. Thank you. First a question on the free cash flow outlook. It's roughly $100 million lower than the prior guidance. Can you please clarify if that includes the storm and integration expense, and maybe provide a bit more color on the puts and takes for that change? And the second question on broadband. Can you talk about what's still driving the pressure in the Legacy footprint? Thank you.
R. Perley McBride - Frontier Communications Corp.: Hi, Batya. It's Perley. Certainly, let me take the first one and I'll have Dan address the Legacy broadband. The simple answer to the question on storm's integration are excluded from that adjusted free cash flow, the number in the guidance. And the primary reason that we are not going to achieve or just – we're not going to achieve our guidance for the year is really related to EBITDA. As we've talked all along, we expected EBITDA to grow in the second half of the year. We expected it to grow in Q3 and again in Q4. We are pleased with our Q3 results and the stabilization of the business, but we now have good line of sight to – obviously Q3 is behind us, Q4 is close. And so, when we factor that in it's going to bring us our free cash flow guidance down. And don't forget, on the last call, we were already kind of guiding people to the lower end of our range to begin with, and our EBITDA shortfall of not achieving the $950 million further lowers our free cash flow guidance.
Daniel J. McCarthy - Frontier Communications Corp.: Batya, and on the Legacy side, really it's been a gross add issue for us. And we took the third quarter to really go pretty deep on what we thought was necessary to change the trends in the business. As we developed what the strategies were on that, we wound up reconfiguring our systems both in the configure, price and quote system as well as the Pega platform on how we actually introduce those offers into our existing channels as well as our channel partners. And as we did that, it's just taking us a little bit longer to get that constructed and into the market. So, I think that we will start to see some benefits on the gross adds. I think it's later in this quarter but it'll have much more profound impact as we come into Q1.
Batya Levi - UBS Securities LLC: Have you seen the gross adds improve both on the CTF side and the Legacy side in October?
Daniel J. McCarthy - Frontier Communications Corp.: In October we absolutely saw some very strong trends in CTF that kept the momentum going that we saw at the end of Q3. And the churn remains on track to improve as well. On the Legacy side, we continue to see a little bit of weakness on the gross adds but I think that you won't see that really reverse till we get a little bit further in the quarter. But we haven't seen any uptick in churn.
Batya Levi - UBS Securities LLC: Okay. Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: You're welcome.
Operator: Thank you. We'll now take our next question from Scott Goldman with Jefferies. Please go ahead.
Scott Goldman - Jefferies LLC: Hi, good afternoon and thanks for taking the questions. Just a follow- up. Dan, maybe give us a little bit more color in terms of what's resonating in CTF in terms of the retention initiatives and the gross add drivers there. And it sounds like you feel pretty comfortable that you can sustain that momentum into 4Q and beyond. Are there additional tools that you need to leverage in order to sustain that momentum or are the offers that you have in the marketplace sufficient to do that? And then secondly maybe for Perley, maybe you could talk a little about EBITDA in 4Q. The guide that you've given, it looks like a pretty big range. Maybe you could talk a little about the range there and what would cause that to go down sequentially if you were at the low end and what may be embedded in there from a revenue perspective. Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: Scott, on the CTF side, we are very pleased with both the gross adds side of the equation as well as the churn. On the gross adds side, as we mentioned on the last call, we did tweak the offer going in mid-quarter and we really started to see the improvement mid-quarter and then carried right through the end of the quarter. We'll continue to evaluate using some customer feedback whether or not we want to tweak it further. If we do, it won't really be around pricing, it may be around some additional value that we add into the bundle, but we really haven't announced anything on that at this point. But we feel very comfortable that we're able to drive to continued improvements on gross add, and with the slight improvement on the retention side, which we have dedicated resources that are working on that right now, we think we can get positive on the CTF FiOS areas in the near future.
Scott Goldman - Jefferies LLC: Have you seen any change in competitive behavior now that you're starting to see some incremental success in those markets?
Daniel J. McCarthy - Frontier Communications Corp.: We really have (23:43). And in fact, we tried to take advantage of some of the issues that some competitors had following the storms, and specifically in Florida, and we were up through the storms, got a lot of kudos from customers because of the passive optical network and how we deliver FiOS and we didn't see any real churn impact with the storm in Florida, and we saw gross adds continue to accelerate to the point where we see service hours at the highest levels that we've seen in those markets all year.
Scott Goldman - Jefferies LLC: Great. And EBITDA growth?
R. Perley McBride - Frontier Communications Corp.: Yeah. Certainly. Hi, Scott. I mean, as we have discussed, in order for EBITDA to grow, we need revenue to continue to improve. And we continue to execute on our cost savings initiatives. Those are continuing to execute even throughout Q4. But at the end of the day, to get our EBITDA growing the way we want it to grow, we need revenue to continue to perform. And so that's why I think you have a bit of a range there from – I'd call the low end of the guidance roughly stable, the midpoint is slight growth and then the upper end is better improvement on the revenue side. And that's how we get – that's how we need to keep improving as we have to keep every quarter having better numbers on the revenue side and continue to take our cost out.
Scott Goldman - Jefferies LLC: Great. Thanks much.
Operator: Thank you. We'll now take our next question from Frank Louthan with Raymond James.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thanks. Can you walk us through the reasoning for the definitional change for EBITDA and what comps did you consider for the pension exclusions? And is there any aspect of the definitional change that's contributing to your current expectations for when and how you reach the synergies?
R. Perley McBride - Frontier Communications Corp.: Hi, Frank. It's Perley. Let me just take you through that. No, the definitional change doesn't – isn't impacted by synergies. The synergies are what I call real cash synergies on the expense side. So as far as the definitional change, by excluding – when we look at – by excluding GAAP pension and OPEB expense, to me, we have made adjusted EBITDA a more transparent measure, and I think it was clouded by kind of the non-cash expense. To me, when I look at – when you look at adjusted EBITDA now, it's more completely a performance measure and is insulated from fluctuations in our pension fund contributions. So I don't believe EBITDA should be fluctuating as you do decide or not decide to make contributions to your pension. I think that EBITDA, our new definition now improves comparability with our peers given how others in the industry report where they do add back pension/OPEB – GAAP pension/OPEB expense. And I think that – if you also, I think it's more transparent, our adjusted EBITDA is now directly calculable from our GAAP financial statements. And as I mentioned in my script, basically, we've had numerous request from investors trying to understand exactly how pension/OPEB works. And I think this gives complete transparency with our filed Q and our numbers.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from David Barden with Bank of America.
David Barden - Bank of America - Merrill Lynch: Hey, guys. Thanks for taking the questions. I guess, I just want to follow up on that last question was just – could you kind of give us a couple of names of specific companies that add back the GAAP expenses to EBITDA? Because I just couldn't think of any off the top of my head. The second question was just I think last quarter you talked about best ever churn in the CTF properties in July. I was wondering if you could kind of elaborate a little bit on kind of where that stands and what's been working on a retention basis. And then I guess the last one is I just have to ask kind of in a grand philosophical sense of where your equity yield is? Where the operational picture is in cash flow terms relative to where you thought it would be six months ago where your bonds are trading, what the reasons are for the dividend to be where it is now? I guess thinking back, Dan, I think you said that the basis for making that choice on the dividend was premised on a $3.8 billion EBITDA performance kind of run rate, and if we're not there, where are we on the dividend side? Thank you very much.
R. Perley McBride - Frontier Communications Corp.: Hey, Dave. It's Perley. So, with respect to our – we have a number of peers in our segment, one released the Flash earlier today. There's another one that's reporting as we – that they both add back pension and OPEB, GAAP expense, if you will.
David Barden - Bank of America - Merrill Lynch: Okay. Fine.
Daniel J. McCarthy - Frontier Communications Corp.: On the churn side, Dave, we did see about a 15% improvement in deactivations in the CTF markets on FiOS, and a lot of it has to do with just better management of the customer experience, as well as using some, I would say, creative offers on trying to create more value for customers that might have been in bundles that had moved up in the price spectrum. So, as we went through that exercise, we saw a great reduction in churn in those attributes, and those are some of the attributes on those customers that had been impacting some of the results previously, so we felt very good about that. I think that we're getting better and better at doing that. In fact, as we get into the coming quarters, we're going to explore additional retention offers as well as how we move forward on managing the price escalation off of promotion expiration a little bit more thoughtfully. And I think in both cases we get to pick up a little bit of a benefit on the churn side, and you couple that with a very nice uptick in gross adds and that really got us to the net for the quarter. And I think there's more room to improve on both sides of the equation.
R. Perley McBride - Frontier Communications Corp.: And with respect to the dividend question, I mean we built a plan, as you said we are still executing on our plan. Our plan is still continue to improve the business every quarter, is to improve our financials every quarter. And as long as we remain on that plan, the board reviews the dividend every quarter and makes the decision every quarter. But we still believe we are making the improvements to the business that we need to make, and that our financials will continue to improve.
David Barden - Bank of America - Merrill Lynch: All right, thanks much.
Operator: Thank you. We'll take our next question from Phil Cusick with JPMorgan. Please go ahead.
Unknown Speaker: Hi. This is Diedra (30:42) on for Phil. You've mentioned that gross adds have improved to pre-deal levels. We're wondering what kind of promotions you're running throughout the quarter and where are these right now. Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Sure. This is Dan. We ran a triple-play promotion, that really was focused on driving attach rates in the area with video. And it was a triple-play really at an $80 price point. No contract, free installation, it had HBO or STARZ in it with a free router and it was 100 megabits as the speed. So great response rates from customers. And we're taking a look in that to see if there's anything, identifying any of the objections that we didn't overcome that we might be able to tweak and make it a little bit more value added in CTF, and see if we can take the gross adds even higher in a number of different channels.
Unknown Speaker: Great, and these promotions are still being run currently?
Daniel J. McCarthy - Frontier Communications Corp.: They are.
Unknown Speaker: Okay. Thanks.
Operator: Thank you. We'll take our next question from Matthew Niknam with Deutsche Bank.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the question. On commercial, can you talk about maybe what you're seeing that's enabling some of this revenue stability and what gives you optimism around a more positive trajectory from here? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Matt, it's Dan. So, as we've talked about before, we spent the last year designing a new way of going to market from a commercial perspective. And then we spent a good part of that time staffing and creating the team that we wanted and then revamping the existing team members into a new structure. That kind of is in the past. Really what we're doing now is developing tools and different systems that allow us to focus selling in places that one, we have network; and two, we can automate the approval process on what pricing is, as well as what capabilities are to those facilities. So we've created this system that allows our sales team to improve the entire process from creating a quote to briefcase time (33:05) improvement into provisioning improvement. And when you look at all of those facets of it, we've compressed the timeframe and allowed our sales team to have a lot more focus and time to go after really a new logo approach versus where we used to be more of a farming (33:25) kind of a system. When you put it all together, we've seen an uptick in our funnel of about 30% to 35%, and we're improving the cycle time of provisioning to the point where we're getting towards best-in-class we think of getting Ethernet installed. And when you put all that together, it really translates to better performance in those areas, and that's really what gives us confidence in saying that we're at a point where we're at the best sales really for the year, and we're going to try and get most of that installed as we get into the fourth quarter, but we feel very optimistic that the systems and the tools that we've put in place will allow us to be very successful as we go into 2018.
Matthew Niknam - Deutsche Bank Securities, Inc.: Understood. Thank you.
Daniel J. McCarthy - Frontier Communications Corp.: You're welcome.
Operator: Thank you. We'll now take our next question from Ana Goshko with Bank of America.
Anastazia Goshko - Bank of America: Hi. Thanks very much. So, one, I wanted to get more kind of color on the company's deleveraging plan. So if we look for example into 2018, what is the plan to address the maturities? There is a bond maturity about a year from now. Is that something that you plan to be able to pay down organically with cash after dividends or is there another plan to address that?
R. Perley McBride - Frontier Communications Corp.: Hi, Ana. It's Perley. Yeah. Our current plan is to take care of those with cash on hand. That's been our plan, that remains our plan into 2018.
Anastazia Goshko - Bank of America: Okay. And then just to follow on that, I'm sure it's not lost on you that it's effectively prohibitive right now for the company to access the bond markets with yields of 13% to 14% on an unsecured basis. So, if we look longer term, what is the company's plan to be able to eventually regain access so you will be able to refi maturities on sort of a regular weight (35:19) basis eventually?
R. Perley McBride - Frontier Communications Corp.: Yeah. So, a couple of things. One is we do expect the business to continue to improve its operational and financial performance. And we do believe we'll be able to take care of all of our, what I'll call our near-term maturities with cash on hand. We still have an untapped revolver of $850 million. We still do have secured debt capacity. And so there are – people always ask about, well, gee, what's the rainy day plan. Well, we have an untapped – as I said, we have $850 million of our untapped revolver. We have about $1.3 billion of secured capacity. But at the end of the day, it's about, as we said, improving the business and staying focused on improving the business and improving both the operational performance and our financial performance.
Anastazia Goshko - Bank of America: Okay. And then if I can just – one final one. So the company does continue to report the covenant adjusted EBITDA which does include some ability to pro forma in some synergies. But if we look at just sort of run rate EBITDA and debt, you're closer to 4.9 right now. So when do you expect kind of those two definitions to converge?
R. Perley McBride - Frontier Communications Corp.: I missed the last part of your question. When does the what?
Anastazia Goshko - Bank of America: When do you expect the credit facility definition of EBITDA to kind of converge to what the reported EBITDA is?
R. Perley McBride - Frontier Communications Corp.: Yeah. So once we get past Q2 of 2018, so we get – so I'll say for – really, it's Q2 2018, it's really Q3 of 2018 reporting. That's when the definitions become more in line, if you will. Now, the bond covenant, as you know, the bond covenant definitions start at net income and work their way back and our adjusted EBITDA definition is, for external reporting purposes, a little bit different. But they'll become closer together in Q3 of 2018.
Anastazia Goshko - Bank of America: Okay. Thanks very much.
R. Perley McBride - Frontier Communications Corp.: All right.
Daniel J. McCarthy - Frontier Communications Corp.: Operator, we'll take one last call.
Operator: Thank you. We'll take our final question from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. Maybe we can just talk about the FiOS. Given that the numbers are starting to improve now, can you just talk about what sort of penetration rates you have on your FiOS plan right now, and what's the opportunity that you see there once these promos start to ramp, churn starts improving? And related to that is we've obviously seen a lot of cord-cutting-type activity across the market this quarter. How are you thinking about the video product, the video profitability and maybe looking to an over-the-top-type offering instead of just leading not with triple-play, but with a broadband-only offer?
Daniel J. McCarthy - Frontier Communications Corp.: Simon, it's Dan. I think on the FiOS market, you should think of us as just under 40% penetrated in those areas. And I think that each market offers its unique opportunities to move forward. I think Tampa, for instance, is a very vibrant growth market. We think that we'll see better penetrations and growth in that market. Texas is a little bit more mature but we still have opportunity to go back to some of the customers we lost there. And California is somewhere in between on the two of them. But I'd say, we'll see the most growth probably in the Florida market because of the lower penetration, as well as organic growth that's occurring from a household perspective. So that's how I think of it. I think all three have good opportunity and we're starting to see the benefit of it right now. So I'm pretty pleased with what we're doing on the FiOS side. And then on the video side, we look at it as – video is still profitable for us in the linear bundle. We did I think a pretty good job of limiting losses on the linear video side in the quarter. We cut the losses in CTF dramatically and we held on to our customers pretty well on the Legacy side. I think in the linear front, we've recently last year upgraded the GUI and the interface for customers in the former or in the legacy FiOS areas. We started to see improvements in video sales and retention as soon as we did that. So we're expecting actually to see some better attachment rates in those markets. And longer term, I think that there is a place for integration of OTT into our ecosystem for the linear plus looking at different products whether it's in a partnership or it's with ourselves because we have all the capability we need and the content and the video on-demand library to actually put together a pretty compelling, over-the-top product that we could use in our legacy markets or as an alternative for customers that just want a standalone product. So, we're not quite agnostic, because we're very heavily invested in the linear side, but we are looking at all sorts of different options to provide customers with choice.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Thank you. And that concludes today's question-and-answer session. I would now like to turn the conference back over to Mr. Dan McCarthy for any additional or closing remarks.
Daniel J. McCarthy - Frontier Communications Corp.: Yes. Thank you, operator. As we close the call, I just wanted to leave you with a couple of thoughts and observations. So first, I'm very pleased that our extensive companywide initiatives are translating into improved financial results. CTF customer revenues were down only $14 million sequentially in Q3, a 50% improvement from last quarter. And we are very confident that we will get the CTF stability. Likewise, we achieved a very substantial improvement in our CTF unit metrics in Q3, and CTF FiOS broadband gross add in Q3 reached the level that Verizon had in Q1 2016. And from here, it only takes a small improvement in churn for CTF FiOS net adds to get back to growth. And we still realize that we have a lot of work ahead on the Legacy properties and with renewed focus we expect to show improvements in the coming quarters. And we remain fully committed to attaining our synergy targets, improving expenses, increasing EBITDA and free cash flow while achieving our leverage reduction targets. So again, thanks for joining us today and we look forward to updating you next quarter on our progress.
Operator: Thank you and that does conclude today's conference. Thank you all for your participation and you may now disconnect.